Operator: Good afternoon and thank you for waiting. And welcome to the Companhia Paranaense de Energia COPEL presentation regarding the earnings for the first 9 months 2013. [Operator Instructions] Before we continue, we would like to clarify that any forward-looking statements made during this call, which refer to COPEL's business projections and operating and financial targets are based on beliefs and assumptions of the company's management, and also depend on currently available information. Forward-looking statements are not guarantees of performance as they involve risks, uncertainties and assumptions as they refer to future events and therefore depend on certain statements, which might or might not occur. Investors might understand that general economic conditions, industry conditions and other operating factors may affect the future performance of COPEL and could lead to results which differ materially from those expressed in these forward-looking statements. We have with us this afternoon Mr. Lindolfo Zimmer, CEO of COPEL; Luiz Eduardo Sebastiani, CFO and IR of COPEL; Vlademir Daleffe, CEO of COPEL Distribuicao. This call may also be followed on the company's website, www.copel.com/ri. We would now like to ask Mr. Lindolfo Zimmer, CEO of COPEL, to take the floor.
Lindolfo Zimmer: Good afternoon, and welcome to COPEL's call regarding the first 9 months of 2014. I would like to thank you all for coming and for listening in to our call and it's always a pleasure to talk to you. First, talking a little bit about our highlights, we have booked a net income of BRL 923 million between January and September of 2013, which was 12% higher than what was presented in the same period last year. As you already know, the margin after this growth and the competence of better electric energy comprised [ph] and also the strategy of allocation adopted by our subsidiary, COPEL Distribuicao Geracao e Transmissao, in the first quarter when we filled energy on the stock market at higher prices. However, it is necessary to mention that our efforts in the control of manageable cost have also been contributing to the company's [indiscernible] results. And this is just the beginning, since we are convinced that we will still reduce the costs even more. We have written a plan for economic flexibility for COPEL Distribuicao and we have a established a target to reduce our costs by BRL 300 million until 2015. Another highlight is the restructuring through which the company is going and this should bring greater agility and greater cost control in different segments. Regarding new investments, we would like to give you an overview of how work is progressing, including the 7 wind farms that we -- or the wind farms that we have acquired recently and the Baixo Iguaçu plant where we have a stake of 30%. And finally, I would like to draw your attention to some good news. COPEL's board has just approved, just over an hour ago, the agreed payment of dividends of BRL 325 million to shareholders. This amount has to do with the net income of BRL 650 million retained in the first 6 months of the year, which is, therefore, a payout of 50%. And this is in keeping with the expectations of the shareholders so that they might participate in good moment. And now I'd like to ask Mr. Sebastiani who'll go into further details about the dividend prepayment and also comment on the period's earnings.
Luiz Eduardo da Veiga Sebastiani: Thank you very much and good afternoon, and thank you very much for coming to COPEL's earnings call. First, I would like to say a few words about how pleased I am, together with our CEO, to communicate the prepayment of dividends. As you know, since I ever took over as CFO, I have been committed to cost control and with financial discipline investments and with the alignment of COPEL's capital structure with our peers in the market. Today's decision is a very important phase of this. Based on our cash flow, we realized that there was space to carry out prepayment with regards to 50% of the retained earnings in the first half of the year. We will be distributing BRL 118 million of interest on equity, which corresponds to the maximum part of growth, which to obtained the fiscal benefit and BRL 145 million in dividends up to [indiscernible] of BRL 325 million. And the shareholders who have a right to dividends, are those who held a position as of 26th of November and shares will become [indiscernible] 27th of November. Payments will be carried out as from the 16th of December. Regarding results, as you may see on Slide #4, operating revenue increased 10.6% between January and September 2013, totaling BRL 6.7 billion. Main reason for the growth of this revenue was the increase of 34% in the revenue with energy supply to end customers, basically to the readjustment of 9.55% applied to suppliers [ph] as of the 24th of June of 2013. Second item, because of the increases of Energy Council in the revenue bookings after the third cycle of tariff review carried out in June 2012. As [indiscernible] we may highlight the increase in revenue of supply to end customers was influenced by the [indiscernible] 197.2% as a supplier of energy to the 3 markets of COPEL Generation and Transmission. As far as electric energy supply to distribute to growth, it was 20% and plunged from the allocation of energy in the short term, carried out by COPEL Geracao ção e Transmissão in the first quarter. The increase of the average price of electric energy supply to distributors, due to the realization, apart of the energy portfolio, COPEL Geração e Transmissão for bilateral contracts after the regulated contract expires. And use of power grid, which is broken down into both charge for the use of distribution and transmission grid shows a drop of 32% due to the effects of tariff review of COPEL Distribuicao carried out in June 2012 of the extraordinary review after the MP 579 [ph] and extension of the contract of transition assets, which led to a drop of about of BRL 189 million in the R 18 of the COPEL [indiscernible]. Other revenues, including revenues from the construction, telecom, gas and others, comprised 39% of sales of BRL 1.3 billion, due in part to the growth of construction revenue accounted [ph] of investments and distribution and transmission and because of increased rent revenue for the thermoelectric plant of [indiscernible], which had a greater dispatch in the period. On the 5th slide, we go into further detail about the cost and operating expenses between January and September 2013, which shows the increase of 12% over the same period of the previous year, which can be attributed in briefly to the increase of 19% in -- the [indiscernible] with electric power compared to [indiscernible] retail, a total BRL 2.3 billion in the period already met. And the BRL 264 million received to transfer to the [indiscernible]. The use of good charges showed a reduction of 50% in the period, impacted by a lower cost with charges with [indiscernible] charges because of the publication of Law 12738/13 which extended transmission concessions and were able to transfer of BRL 320 million in resources of CCEE in the period. [indiscernible] cost, including pension, planned benefits, show the reduction of 7% in the first 9 months of 2013 due to lower cost with remunerations and charges even considering the wage adjustments of 5.6% and 1% as from October 2012 and May 2013, respectively. And another [indiscernible] with provision for indemnities, which refer to the [indiscernible] voluntary termination program, which we closed in December 2012. Now further, since we saw [ph] charges, showed a slight increase of 1.3% due to business expenditures with services, which had to do with communication and data processing. In the next slide, we separate expenses with energy for retail and as [indiscernible] 19% and totaled about BRL 3.3 billion in the first 9 months of the year. Energy purchased in the regulated market grew due to 3 factors. First of all, it was adjusted by inflation. Second, we discount our new thermal and hydroelectric energy contracts and this execution of existing energy contracts, which expired in December 2012. And in view of higher costs with the thermoelectric contracts because of the [indiscernible] effect. And besides higher costs with the regulated market contracts, costs with the CCEE energy purchase grew, indeed the highest spot [ph] Market cost while the cost of [indiscernible] grew due to the appreciation of the dollar. Slide #7, we detail the transfer of CDE results. As you know, the government issued decree number 7945, which includes the transfer of CDE results through the first 9 months of 2013. The company booked a total of BRL 584 million a result of CDE and BRL 764 million, which referred to the offset of energy at BRL 320 million, which refer to the compensation of cost with charges, as I have mentioned. Please note that the amount which refers to in the third quarter is very low, which we already expected because now the tariff adjustments of COPEL Distribuicao and higher cost with energy and charges of thermal dispatch were included in the tariff and was what meant to result into 14.61%. Remembering that 9.55% were applied in June and the rest equivalent to BRL 256 million will be corrected by IGP-M and will make a financial component, which will be applied in the next adjustment in June 2014. On Slide #8, we show the evolution of the COPEL Distribuicao cost. Looking down into Parcel A, PMSO and construction cost. You can see that in the comparison between the first 9 months of 2013 and the same period in 2012, cost went up about 9% and this increase is explained by the 92% increase in construction costs, which are not considered in the regulatory balance sheet. Cost with PMSO, dropped by 0.5% with a IGP-M with that 4.4% in the period. And if we analyze PMSO individually, it's possible to observes that expenses with payroll that include beside the cost with salaries and charges, the expenditures with Social Security and dropped about 8% of [indiscernible] adjustment granted in the period. You may notice that payroll reduction of approximately BRL 50 million in COPEL Distribuicao alone, and then we considered the consolidated value reduction at BRL 65 million in net of extraordinary cost with the voluntary redundancy program, it is approximately BRL 40 million for the first 9 months of 2013 or 4.8%, which shows an important downward trend that should continue in the next few quarters. You can see the importance of this item for the company, the distribution of COPEL Distribuicao. It is a major challenge for all the companies in the sector and dealt with a lot of confidence by COPEL Parana. Going back to the distributor cost, energy expenses represented a 10% increase in the period, motivated by nonrecurring costs related to the distributor and accounting reconciliation of assets and net of these losses, financial cost would go up to 2.3% in spite of the market growth and the inflation in the period. Going back to the results on Slide #9, we can see that the consolidated EBITDA grew by 5% between January and September 2013, amounting to BRL 1.6 billion and the 23% margin on the operating revenue in line with we saw in the previous year. Cash generation by COPEL GeT accounted for 78% of consolidated EBITDA while as for COPEL telecom represented 5%. In the other hand, COPEL Distribuicao presented BRL 37 million EBITDA, reversing the downward trend that we saw up to June until the last quarter. So you can see a reversal of the downward trend already in this quarter. The EBITDA margin of COPEL GeT reached 60% and COPEL telecom, 52%. COPEL Distribuicao delivering an EBITDA margin of and of 1%. On Slide #10 we show the consolidated net income of COPEL BRL 923 million year-to-date through September, 12% higher on a year-on-year basis. As we have already said, net margin was about 14%, in line also with the previous year. Analyzing the result of subsidiaries, we can see that COPEL GeT closed the period with BRL 734 million net income, 33% higher on a year-on-year basis and a net margin of 36%. COPEL telecom posted BRL 35 million net income corresponding to a 62% increase on a year-on-year comparison. The year-to-date net result of COPEL Distribuicao, the 9 months, was BRL 43 million. That will be the main highlights of our COPEL's results and I would like to give the floor back to our CEO, Mr. Lindolfo Zimmer. And he will be talking a little bit about the restructuring of the company, about the perspectives of our cost reduction plan and also investments that we are making.
Lindolfo Zimmer: Thank you, Sebastiani. On Slide #11, we show you the configuration of COPEL after the conclusion of restructuring, the cost of that is already underway and with these changes we try to streamline our internal processes and facilitate the separation of cost and separation of activities of the different subsidiaries. And among the changes already carried out, COPEL holding company reduced from 10 to 5 the number of executive areas. Now beside the CEO's office, the holding company has executive offices of finance and investor relations, corporate management, institution of relations and new business. Regarding subsidiaries, besides the ones that already exist, COPEL GeT, COPEL Distribuicao and COPEL Telecomunicações, the company now has COPEL Participacoes, which was created with the objective of managing the company's stakes and also COPEL Renováveis that will be concentrating the company's investments in energy generation from renewable sources, including the recent acquisition of 7 wind farms in Rio Grande do Norte. On Slide #12, we'll describe the economic sustainability plan of COPEL Distribuicao submitted in October 2012 on the objection to reduce cost and launch the results of the subsidiary to the regulatory framework. And the plan provides for cost reduction of COPEL Distribuicao with a PMSO of 6% a year between 2013 and 2017. And we expect a BRL 300 million reduction in operating costs by 2015. The highest contribution for these results will be made by the reduction in our headcount, and we have a voluntary redundancy program and the extension of 163 management positions, equivalent to 60% of management positions, driven by the restructuring implemented by the subsidiary. Also, for 2014. One more specifically about the voluntary redundancy program, 337 people will be leaving the company in the last month of 2013. For the whole year, the total decrease in headcount will be 706 people. And among these, about 500 are COPEL Distribuicao. It's important to remember that since we launched the voluntary redundancy program in 2011, over 1,000 people have already left the company. Still talking about the voluntary redundancy program in order to meet the need to continue reducing our payroll costs, we recently launched a new program called incentive redundancy program, which would allow us to further reduce our headcount. And besides reducing our costs with payroll, the company carried out 400 cost reduction initiatives with MSO [ph] . And with that, we have savings amounting to BRL 30 million in 2013. In COPEL Distribuicao, I would like to highlight that the plan increased the transfer of the CRC credits from COPEL Distribuicao to COPEL holding company and a fraction, which is still subject to approval by ANEEL will allow us to sector the intercompany loan with COPEL and the transfer of funds to the distribution company's cash guarantee, a sound capital structure for the subsidiary in the next few years. And it's important to say that the cost reductions is not limited to COPEL Distribuicao. Similar measures, such as incentive tools, cost reduction and also reduction in management positions are also being carried out in the other subsidiaries. In COPEL Geracao, over 300 proposals coming from our employees are submitted with the objective of cost reduction. And on Slide #13, finally, it's important to give you an overview about the investments that we are making. In the generation segment, we will be adding 636 megawatts of installed capacity in the next few years. And we have already waged 60% of the collated [ph] HPC [ph] Schedule. And at the beginning of October, we concluded the diversion of the [indiscernible], an important step that they'll have to continue the construction work for the dam up to the less [indiscernible] . By Baixo Iguacu HPP, construction work has already started and follows the schedule with no intervention or delays. The wind farms [indiscernible], in which we hold a 49% stake, concluded the construction of the 4 farms and they are already being remunerated as per our contract. And they are in operations, although the transmission lines have not been concluded yet. And the projects for the 7 wind farms recently applied, they're not yet underway and should be concluded by the end of 2014. In transmissions, we are adding 2,015 kilometers of lines to our portfolio, which will deliver as an additional ramp of BRL 203 million that we are revenue from these segments. In general, these are the main highlights for COPEL's results. And now I would like to open for questions from our listeners.
Operator: [Operator Instructions] Our first question comes from Carolina Carneiro from Santander.
Maria Carolina Carneiro - Santander, Equity Research: I would like you to clarify today's meeting. What was approved? You have noted change regarding the policy of dividend payouts to 50%. Was that it or was it just a decision to pay, at this moment, to pay this retained income. Was it an effective change because of the minimum dividend that you should see or is it just a prepayment with the payment, which does not necessarily mean that the payment for the year will be 50%?
Lindolfo Zimmer: Thank you very much, Carolina. I'll start with the end of your question. Well, things will be busier next year, 50% for the 2 years. And it's important that we have announced, it's very important for the company, for COPEL, and the aligning of the company with other companies in the electric parts [ph] sector. And it's important that the analysts know of the commitments we have with this outlook. It's very clear to us that this is a track we will follow regarding dividend payouts. We have a recent track entry of 25% payout and now about 38%. And now we have reached this level that it's more positive. So obviously, this points to an outlook or to the possibility of another level of payout to the company. Therefore, this is a decision taken as from the possibility for COPEL to do this for the payout of this year. And as we know, that this is all part of a process, an important part of what the company is doing. And there is a long way that could be consolidated in the near future.
Maria Carolina Carneiro - Santander, Equity Research: And one more question. To clarify, what has changed, in fact, in the mind of the company? I remember, at one call, you always said that you wanted to participate in the federal auctions and you have a very intensive CapEx program and obviously, cost reduction. But you have an implanted CapEx program regarding purchases and distribution, mostly distribution and generation. Do you still have this view of this aggressive approach and keep your 50% payout? Or are you going to analyze things on a case-by-case basis and then identify what the payout would be. And another question regarding this, and another point is I would like you to say a little bit about this balance between the payout payment, which is now half vis-à-vis the fact that you have not yet received all the tariffs that you have to receive this year. And obviously, not wanting to speculate, but perhaps for next year, we know that you still have any balance to receive from the suppliers but the clients should grow also with the distribution business. So you haven't clear a business of how much will be transferred and what your balance will be? Or do you still not know this clearly and will you evaluate things next year according -- and what your payout will be if you don't get the total promised balance that you should?
Lindolfo Zimmer: Well, at this moment, the [indiscernible] according to what we were presenting to the market. And we also have an important cash flow. And our investments are -- have been significant in equity. We would look to continue the [indiscernible]. So I think conditions are favorable from now on. And recently, we had the authorization of MBS [ph] for financing of [indiscernible] and a very important to the refinancing global and financial funds and the income from that. So I think that what we have at this moment was actually -- we continue without dividend payment. And also we have an important sustainability level, not by chance. We have very capable conditions, no debt level and good prospects. And much optimistic in [indiscernible] the future for the COPEL holding company and very favorable elements to be worked on. And therefore -- and also with the cost optimization that there are lot to be done on this subject. We have to find more efficiency for our company. So I think that there is everything to be done to be consolidated in this payout without obviously, hampering our financial finance discipline. But as a CEO, some of you know that we have made important investments. We are doing this in wind energy and renewables to also make these assets efficient which respond to COPEL's structure and we're working hard to, because it's a very important steps for COPEL in our alignment with the rest of the electric power sector.
Operator: [indiscernible]
Unknown Analyst: I have a question about dividends, but it's already clear. But there are 2 other points that I would like to raise. About the [indiscernible] prices for the A-1 options and you have a very good exposure there. So I would like to know if you intend to participate in this auction and what kind of products will you be bidding for if you bid? And regarding the next round of blocks you're listed to participate, so I would like to understand your strategy for this area and how this fits into the remainder of the company. Are you going to participate in a consortium and what is your strategy?
Lindolfo Zimmer: The [indiscernible] from COPEL Distribuicao. We need to buy 966 megawatts, which is a significant amount, and our expectation is to have an attractive carrier. But I believe you would like to know about the strategy of the generating company COPEL's going to bid, right? We have been talking, and he's not here, but the value is attractive. But I cannot talk about the strategy because it hasn't been designed yet and we should be waiting for a few days until the auction is realized.
Unknown Analyst: What about gas? What about the strategy for gas?
Lindolfo Zimmer: The company has already been accredited. And we have partnered with them. And we believe it's very important for us to be present at this moment when a new source of energy arises with a very significant participation. And the situation, the other countries encourage us to do this. And we couldn't just stay outside and not participate in this possibility. So we are studying and drafting a plan and directing our project. And then we will be deciding whether we will be participating in the auction or not. Thank you.
Operator: Next question which is from Felipe Leal from Bank of America.
Felipe Leal - BofA Merrill Lynch, Research Division: I would like to know if you have any news about the negotiation of the prepayment of CRC with the state government.
Lindolfo Zimmer: Felipe, we follow this very closely, we are here in the State of Paraná and we follow in the local press, of course, the development of the best solutions regarding the decisions of the state government. Yesterday, the governor of Paraná, Beto Richa, met with the President, Dilma Rousseff, and she mentioned that these processes that are being analyzed should be completed very soon. But to the announcement that was made by the state government yesterday, we are expecting the release of those financing to be provided by private banks and then be able to settle the CRC and COPEL is already prepared to settle the account that the state government had with COPEL and we will be able to identify by the end of this year or maybe the next or the first 3 months of next year. We don't have the inflow of these funds in order to settle the debt of about BRL 1 million.
Operator: [Operator Instructions] Our next question is from Marcelo Britto from Citigroup.
Marcelo Britto - Citigroup Inc, Research Division: Continuing on with the last questions. In case you receive CRC resources in the first quarter by the end of the year, will you be distributing this to common shares to select [ph] stockholders or would it be used to strengthen your cash position?
Lindolfo Zimmer: Well, we think that there will be a mix between these 2 possibilities that you mentioned. Obviously, distribute these extraordinary resources that will enter the company's cash, but also to leverage new investments so that we can have good earnings. But one situation does not eliminate the other. And I think that there will be the possibility of having a mix of these 2 points. But regarding of -- regarding payout of dividends and also financial strengthening.
Operator: Next question is from Mr. Bruno Pascon from Goldman Sachs.
Bruno Pascon - Goldman Sachs Group Inc., Research Division: Also a question regarding investment. ANEEL was approved on Tuesday, including prices for the auctions for the [indiscernible] plants and the whole sector has an eye on that and [indiscernible]. So I think for the price of BRL 107 bidding price, for COPEL, it is attractive to the company to participate in this auction, which will happen now in December.
Lindolfo Zimmer: Well, obviously, there is a possibility of new acquisitions for generation. But the company also has the responsibility of [indiscernible] sort of very healthy and sound way to do what it feels confident in doing and have good return for its stockholders. The price of BRL 107 ceiling does not allow us to take a final decision. It seems very low to begin with at first sight. And we will -- we cannot participate in an auction under these conditions. Things might change but at the moment, no. Thank you very much.
Operator: Mr. [indiscernible] from [indiscernible]
Unknown Analyst: What about the stock buyback? Is it linked to the dividend payout policy?
Lindolfo Zimmer: No, we are not going to carry out any stock buyback plan. The goal was to achieve and increasing our dividends and this what we focused on during the period and creating all the favorable conditions in order to make the decision. However, we do not intend to carry out any a stock buyback right now.
Operator: Ms. Lilyanna Yang from UBS.
Lilyanna Yang - UBS Investment Bank, Research Division: What is the ideal capital structure that you foresee for 2015 for COPEL, 2014 and '15 taking into account all the new projects and et cetera?
Lindolfo Zimmer: Our goal is to be better everyday, let's say, 55% -- 65% our own capital. Everywhere, on this basis, and also based on our short-term assets. And also our programs, such as cost reduction, increasing our investments and our dividend policy. And we want our capital structure to be a consequence of all these measures, and this is our target. We have very significant management targets. And that has to do with better and better strategies to be delivered to our customers and will be compatible cost. And this will lead to the ideal capital structure. And linked to this, of course, we have new investments and maintaining our cost ability levels.
Lilyanna Yang - UBS Investment Bank, Research Division: About the CRC funds. You said the beginning of 2014 to close this transaction? And I understand you do not know yet how you will be using these resources between dividends and investments. Could you explain that? Is it different from what you had in the past?
Lindolfo Zimmer: I understand that you have been following the CRC issue and we have not changed our position in this regard. We know that there is this perspective and, of course, we will be distributing dividend payout, dividend as much as we can. And the majority of shareholders works with this focus. And the most relevant point for the majority shareholder was to have the swap, this debt swapped and having a lighter debt vis-à-vis the conditions established in the current situation of this debt. But I think COPEL will not necessarily keep this in cash and we can work both ways, this paying out dividends to a good extent, I can affirm that, but we also want to bring more value to our company, so that part of this additional value may mean investment that may bring a higher profitability in the medium- and the long-run for the company. And our perspective is very much focused on dividend payout, yes. Thank you.
Operator: There are no more questions. We would like to give the floor back to Mr. Lindolfo Zimmer for his closing remarks.
Lindolfo Zimmer: Before finalizing, I would like to thank you all for participating in this call. And I reiterate our commitment with cost control and you can see the evolution of our endeavors already, and we expect that the adaptations of our internal processes may further decrease our costs and thereby, improving our results. I have already talked about the prepayment of our dividend, 50% of net income in the first half. And this is a very important part or step for the management of the company. And we intend to cater to all our stakeholders. I would like to place our [indiscernible] area at your disposal thank you, again.
Operator: The conference call is closed. Thank you very much for your participation and have a very nice evening. Thank you.